Operator: Good afternoon, ladies and gentlemen. At this time, we would like to welcome everyone to SABESP Conference Call to discuss its results for the Third Quarter of 2019. The audio for this conference is being broadcast simultaneously through the Internet on the Web site www.sabesp.com.br where you can also find the slide show presentation available for download. We inform you that this call is being recorded and that all participants will be able to listen to the conference during the company's presentation. After the company's remarks are over, there will be a Q&A period. At that time, further instructions will be given. [Operator Instructions]Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of SABESP's management and on information currently available to the company. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties, and assumptions because they relate to future events, and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions, and other operating factors could also affect the future results of SABESP, and could cause results to differ materially from those expressed in such forward-looking statements.Today with us we have Benedito Braga, CEO; Rui Affonso, Chief Financial Officer and Investor Relations Officer; Adriano Stringhini, Corporate Management Officer; Mario Arruda Sampaio, Head of Capital Markets and Investor Relations; and Marcelo Miyagui, Head of Accounting.Now, I will turn the conference over to Benedito Braga, CEO. Sir, you may begin your conference.
Benedito Braga: Thank you. Good morning, everyone. It is a great pleasure to be in this conference with our directors and superintendents to discuss the results of the third quarter. We are extremely happy with the results. You will appreciate the results. Mario Sampaio will -- in a very detailed fashion present the results for you, and what I would like to say is that the administration of this company is looking forward to bring in more and more consumers, and we were very successful in bringing in Guarulhos and Santo Andre, that is now producing the earlier results of the assumption of the municipalities. We were very successful in Guarulhos to stop water rationing, and more than a million people that were going through rationally are not any longer in that situation. Also, the intermittency of water distribution in Santo Andre will be improved, and we already started some civil works that is going to be very beneficial to the population of Santo Andre during the summertime, approaching summertime in December, January, and February.So, in a nutshell, things are moving smoothly. We are very determined to clean up one of our icons in Sao Paulo with the Pinheiros River by 2022, and this involves a lot of investment in sewage collection and treatment, but we are prepared for that. We are now using innovative contracting processes that will accelerate results in the area of sewage treatment. This is very important for the image of our company and the interest of our shareholders in these results.So, without further ado, I will give the floor to Mario Sampaio to present you in detail the financial results. Thank you.
Mario Sampaio: Hey. Thank you, Mr. Braga. So, let's start. Let's start on slide three. Excluding [ph] the services now being provided to Guarulhos and Santo Andre, we can see that total billed volume increased by 2.8%, of which, 2.4% was for water services, and 3.4% was for sewage services when you compare to third quarter '18. We considered Guarulhos and Santo Andre, the total bill volumes grows to 3.8%.Now on slide four, here we will discuss our financial results. In the third quarter of '19, our net income was R$1.2 billion compared to third quarter '18 net income of R$565 million, resulting in a bottom line growth of 113.9%. This variation is mainly driven on the positive side to the R$1.3 billion impact due to the recognition of extraordinary revenues from the signing of the agreement with the municipality of Sao Paulo. As you recall, this is to provide sanitation services directly to the [indiscernible].On the unfavorable side, the increase in finance expenses resulting from the devaluation of the Brazilian payout against the dollar and the Japanese yen was the main event. Net operating revenues was R$5.4 billion against R$3.8 billion in third quarter '18, resulting in an increase of 42%. Excluding the services in Santo Andre, net operating revenue was R$4.1 billion, which corresponds to an increase of 8.5%. As for cost, administrative and selling expenses and construction costs, we had an increase of 5.5%, mainly due to services, electricity and general expenses. On the other hand, we had a 25% reduction in salaries, charges, benefits, and pension obligations accountant, largely due to the reversal of a provision referring to an agreement signed with the public prosecutor office of Sao Paulo regarding the gradual dismissal of retired employees, which the company fully comply with the requirements that were established by the state prosecutors. We will further explain this point in the next slide.Adjusted EBITDA reached R$3 billion in the third quarter '19, increased by 109%, or R$1.6 billion against the R$1.4 billion in the same period of 2018. Adjusted EBITDA margin in the quarter was 55.6 versus 37.6 in the same period last year with a margin of 44.6 in the last 12 months. If we exclude the effects from construction revenue and construction costs, the adjusted EBTIDA margin in this quarter would be 64% versus a margin of 46% last quarter '18. As for the last 12 months margin, this quarter, we reached 52% compared to 45% in the same period 2018.Move on to slide five, in this slide, we will highlight the key variations that impacted results in this quarter starting with Santo Andre. In July 19, the company entered into an agreement with the municipality -- for the operation in the beginning of operations in August. Initial impacts of this agreement in third quarter '19 was an increase of R$1.3 billion on operating revenues, and a R$41.7 million decrease in expenses with a net effect before income tax and social contribution of R$1.3 billion.Next event [ph] refers to the operation in the city of Guarulhos, which had a positive impact this quarter, on this quarter results with the recognition of R$160 million in operating revenue and R$37 million in costs and expenses, and this excludes revenue and construction costs. Result is the net income before income tax and social contribution of R$78 million in the period. These same accounts for second quarter '19 were operating revenue of R$90.6 million costs and expenses, again, excluding revenue and construction costs of R$66.5 million, and net income before income tax and social contribution of R$24 million, all of which expresses an improvement with the operation of Guarulhos.Moving on, this next -- this quarter we've reversed a provision in the amount of R$173 million in the salaries charges and benefits and social security obligations account, due to the termination of the retirement conduct adjustment term, what we call here the TAC. Just going back on October 11, 2019, the state prosecutor responsible for the proceeding recognized that the company complied entirely with the requirements, and thus, concluded the proceeding. Recall this matter, all the way back on February 20, 2009, SABESP and the state prosecutor signed a conduct agreement, the TAC, which I mentioned, in which case, the company pledged to promote the gradual dismissal of employees already retired. Due to this, the company constituted a provision for the dismissal of these employees. Remembering at the time, the number of employees involved totaled 2,250.Next point, expenses with the partial start of the services rendered by the São Lourenço Production System in the third quarter of 2018 had an impact of R$19.2 million. In the third quarter of '19, the operation was in full capacity, resulting in an expense of R$53.6 million, thus generating an impact of R$34.4 million in the period in our results.Moving forward, in the last quarter, the company has also advanced in the process of adjusting its contracts with municipalities were operated in a contractual lease [ph] precarious manner. In this sense, the company entered into agreement with the municipality of Guarujá, in which, it formalized the contract for the rendering of sanitation services for a period of 30 years. And at the same time, close outstanding losses, recognizing them as a non-recurring expense in the amount of R$46.4 million in the third quarter of '19.Finally, we highlight the signing of the [indiscernible] agreement with the CESP Foundation. As we have been observing, our healthcare plan managed by SABESPREV was imbalance due to increasing healthcare costs and demanding, thus timely contribution by SABESP in order to maintain the financial [indiscernible] and margin requirements established by the National Healthcare Agency known as ANS. In August '19, a new health plan managed by full CESP came into force, replacing the previous plan. With the signing of this new healthcare plan, no additional contributions were required, and thus, the company recorded savings of R$39.1 million in healthcare expenses this quarter when compared to the third quarter '18.Let's move now to slide six. Here, we will highlight the key variations that impacted our costs in the third quarter of '19. As already mentioned on the previous slide, when compared to the same period of last year, costs, administrative selling, and construction costs increased by R$148.4 million or 5.5%. Excluding construction costs, the cost and administrative and selling expenses increased by R$172 million or 8.6%. The main increases were R$141.9 million or 65.5% in general expenses, R$83.4 million or 22.8% in services and R$41 million or 17% in electricity expenses. Services, several factors contributed with an increase in expenses such as -- in highlighting expansion of services related to meter reading and delivery of bill, and the increase in network maintenance and paving services. Initially [ph] we can highlight the cost resulting from the agreement with Santo Andre related to the permanent of approximately 1,000 employees for six months, this represented R$6.7 million increase in costs incurred for only one month that is September '19. Remember that the number of employees signed will drop to 400 starting in the seventh month of the contract.General expenses were impacted by non-recurring events such as determination of losses with the municipality of Guarulhos, the result of the agreement we entered into as mentioned in the previous slides. We also had an increase in electricity consumption compared to last year third quarter. This is due to the new Guarulhos operations and the start-up of two very important investments, the Jaguari and Atibainha Interconnection, and the before-mentioned São Lourenço Production System. On the other hand, we highlight the reversal of provisions for the retirees in the amount of R$173 million, positively impacting the salaries, charges, benefits and pension obligation. For breakdown of these and other charges, costs, please refer to our earnings release.Let's quickly go onto slide seven. Here we summarize the variations that affected the company's net income in the third quarter always compared to second quarter -- sorry, third quarter '18. Net income, as already mentioned, reached R$1.2 billion. Net operating revenue increased R$1.6 billion. Costs and expenses, excluding construction costs increased R$148 million. Other operating income and expenses, including equity income had a negative variation of R$19 million. Financial results had a negative variation of R$457 million. And finally, income tax and social contribution increased R$331 million due to the higher taxable results in the third quarter of '19.Let's move on. We should be looking at slides eight, nine, and 10; starting, we would like to share with you a brief analysis of three management's performance indicators, namely gross revenue per cubic meter, operating expenses per cubic meter, and EBITDA per cubic meter sales. This analysis, we took a historical series since 2014, using quarterly accounting data disclosed by the company. Additionally, we made some adjustments to isolate some extraordinary and relevant events that would destroy the results. Additionally, to look at the performance for the periods in the same basis, we brought all values at average prices for the third quarter of '19, updated by the CPCA, which is the index used to adjust our inflation on a yearly basis.Our goal with this approach is to look at the company's performance through indicators over a larger period of time, and on the same price basis than in nominal terms, on a quarter-over-quarter basis, where specific events may lead to comparison basis problems as well as imposed difficulty in analyzing -- in better analyzing the company's evolution and performance over time. As you can see from the three slides, gross revenue shows a favorable and consistent evolution, regarding operating expenses it's clear that it evolves in a controlled manner and compatible with the expansion of our operations in the period, as a result of disciplined cost management. Lastly and largely, as a result of the behavior of the gross revenue and operating expenses, we see a very consistent growth in EBITDA per cubic meter.Now, let's comment three points that we'd like to highlight. One of them, this quarter was the beginning of operations on an emergency basis of Guarulhos sewage treatment services. On August 22, following the breach of the agreement between the municipality of Guarulhos with the [indiscernible] December with the objective of assuming a 100% of the provision of public sanitation services in the municipality of Guarulhos, we signed a commitment letter for the preparation of an amendment to the main water and sewage public service agreement with the municipality of Guarulhos, which we signed on December 12, 2018. In summary, we want to include the sewage treatment in the main concept. This amendment should be done anytime soon, and at the time, we will obviously make it public, and we will communicate to the market. We remind you that operating 100% of Guarulhos sewage services added with the provision of the same service in Santo Andre, both will be a major step in the process of de-pollution of the TSA [ph] water basin at the [indiscernible] River.Let's also comment on the tariff structure, as you may be aware, in May this year, FX [ph] approved a resolution number 865, which establishes the schedule of events to be observed in the revision of the company's tariff structure. Part of this schedule, just now on November 15, the company submitted to FX [ph], our proposed tariff structure along with implementation plans. Next step will be the public consultation process scheduled by [indiscernible] for April 2020, when the regulator should disclose more details in this matters.The last point we will also like to comment refers to our debt in foreign currency. Today, 49.2% of the company's total debt is close to the exchange rate variation of the Brazil Real against the U.S. dollar and the Japanese yen. This is due to the outstanding loans with multilateral banks, basically IDB and IBRD, the official Bank of Japan called JICA. But just remember that these funding offers a very long-term and low cost, and again, we also count with other funding instruments used for the capital and credit markets, and our overall debt structure.Considering the current international and national macroeconomic conditions and their impact on interest and exchange rates, and in particularly, the significant reduction in the differentials between internal and external interest rate, the company should whenever possible contemplate actions to capture opportunity that will result in a decrease in its foreign exchange exposure. In case of debts with multilateral and official banks, some of our current contracts already have a currency exchange clauses, certainly be amended to include this option, in such, that there will be no need for the use of market currency hedging instruments with the execution of any debt currency exchange. For other debts of the company in foreign markets, whether a private credit or public financing that do not have currency exchange clauses, the company may resort market currency hedging instruments to reduce [indiscernible]. The company continues to prioritize assets, increasingly diversify credit sources, both internal and external to support its investments with cash and refinancing needs, and in this sense, we always evaluate the opportunity to carry out currency hedging operations based on conditions and costs offered by the market.Well, this concludes our comments or highlights, and now we are going through the Q&A session.
Operator: There appears to be no questions in the question queue, and I would now like to turn the conference back over to SABESP for their final remarks.
Benedito Braga: Okay. Thank you everybody for your time. We will definitely be back here soon for the fourth quarter results. So, thanks. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.